Operator: Good afternoon, and welcome to Fluor Corporation's Fourth Quarter and Year-End Earnings Conference Call. Today's call is being recorded. At this time, all participants are in a listen-only mode. A question-and-answer session will follow management's presentation. A replay of today's conference call will be available at approximately 8:30 p.m. Eastern Time today, accessible on Fluor's website at www.fluor.com. The web replay will be available for 30 days. A telephone replay will also be available through 11:00 a.m. Eastern Time on February 24 at the following telephone number: 888-203-1112. The pass code of 3253699 will be required. At this time, for opening remarks, I would like to turn the call over to Geoff Telfer, Vice President of Investor Relations. Please go ahead, Mr. Telfer.
Geoff Telfer: Thank you, operator. Welcome to Fluor's fourth quarter and 2014 year-end conference call. Today represented here from Amsterdam, where we're here for the opening our new office in the Netherlands. With us today are David Seaton, Fluor's Chairman and Chief Executive Officer; and Biggs Porter, Fluor's Chief Financial Officer. Our earnings announcement was released this morning before the market opened. We have posted a slide presentation at our website, which we will reference while making prepared remarks. Before getting started, I'd like to refer you to our safe harbor note regarding forward-looking statements, which is summarized on Slide 2. During today's call and slide presentation, we will be making forward-looking statements, which reflect our current analysis of existing trends and information. There is an inherent risk that actual results and experience could differ materially. You can find a discussion of our risk factors, which could potentially contribute to such differences in the company's Form 10-K, which was filed earlier today. During this call, we may discuss certain non-GAAP financial measures. Reconciliations of these amounts with the comparable GAAP measures are reflected in the earnings release and are posted in the Investor Relations section at our website at investor.fluor.com. Now I'll turn the call over to David Seaton, Fluor's Chairman and CEO. David?
David Seaton: Thanks, Geoff. Good morning, everyone, and I appreciated you joining us today. On today’s call, we’ll review our fourth quarter and full-year 2014 results and discuss our outlook for 2015. But before we move to next slide, I’d like to make some introductory remarks. 2014 was an important year for Fluor relative to our growth, as well as our competitiveness. Throughout ’14, we continued on a deliberant purposeful path to improve client’s services, staying into their needs and improved capital efficiency with greater assurance relative to cost of schedule certainty on the major projects that we’re doing for them. Our customers are focused on capital efficiency, that selecting continued, so they can continue to invest and we’re helping them do that. We’ve been on a three year past strength in our competitiveness and create profitable growth for our shareholders. At the same time, we’ve also positioned our businesses to provide clients with integrated solutions competitively offering them the breath of our knowledge capabilities and service. As a result, we believe we’re in a better position to day to compete and win new work regardless of the market condition. The pipeline of projects is not diminished. Back in June of last year, I mentioned that we had pipeline of Oil & Gas projects totaling some $50 billion. Even though we’ve booked a number of those in the second half of 2014, a pipeline the prospects today is still roughly the same size. Since June, we’ve had success in booking the Fort Hills project in Canada, Sasol Cracker in the Gulf Coast, Pemex Tula Coker, the RAPID project in Malaysia for Petronas and last week NEXUS pipeline. To summarize, 10 billion projects of the original list were awarded to us, 2 billion was lost or canceled and 10 billion of new prospects have been added. With that we feel confident that are opportunities that remains in very good shape. The exact timing of the awards however, is one uncertain and we’ve to use the term lump before and that will not change. The lumps may occur over a longer period of time this time which makes a longer more sustain cycle not the end of a cycle. In our mind, there is too much use of the word headwinds. Headwinds is seen in the marketplace so far effects the part of the old patch on which we do not depend. More importantly, there is still tailwind - sorry - more importantly, there is still a tailwind for longer term growth is just blowing a bit softer and will cause a time over which the spending occurs to extend. Low cost gas is still a positive driver and there are customer decisions that are effected by all they see current pricing in temporary. Although there will be some delays in some cases, customers will ultimately make the decision based on those long term expectations. So with that, let’s look at the 2014 full-year results beginning with Slide 3. Net earnings attributable to Fluor from continuing operations were strong at $715 million or $4.48 per diluted share which compares with $668 million or $4.06 per diluted share a year ago. Consolidated profit for 2014 rose to $1.3 billion from $1.2 billion a year ago. The growth in segment profit, I think reflects growth as expected in Oil & Gas and Power, which was offset by declines in Industrial & Infrastructure, Government and our Global Services segments. Segment profits were 5.9% which compares to 4.4% a year ago. Oil & Gas margins improved to 5.9% up from 3.8% a year ago. Consolidated 2014 revenues was $21.5 billion, down from $27.4 billion a year ago, mainly due to significantly lower revenues in the mining and metals business segment. Full year new awards were record $28.8 billion including $19.7 billion in Oil & Gas, $4.7 billion in Government, $3.3 in Industrial & Infrastructure and $1.1 in Power. Consolidated backlog at year end was $42.5 billion, up 22% from $34.9 billion a year ago. If you would, please turn to Slide 4. The Oil & Gas segment booked 4.9 in awards as I said including the projects that I spoke off earlier in this call, the Sasol Chemicals, the Ethane Crackers and the Gulf Coast, the Pemex Tula Refinery Coker project and with that any backlog for the Oil & Gas segment was 41% from a year ago and 1.9% sequentially to end 2014 and a record $28.4. Fourth quarter new awards in Industrial & Infrastructure were $712 million including the A9 Holendrecht, Diemen road project in the Netherlands. Any backlog for the Industrial & Infrastructure decline is as we continue to work off mining and metals projects. We closed the year with backlog of $7.3 billion compared with $10.5 billion at the end of a year ago. Turning to Slide 5; the Government group posted fourth quarter new awards of $157 million ending backlog for that segment of 2014 was $4.7 billion. In the Power segment, fourth quarter new award were $528 million including a five year contract extension to perform maintenance at the Diablo Canyon nuclear plant in California. Ending backlog for Power in 2014 was a $2.1 billion, up slightly from a year ago. With that, I’ll now turn the call over Biggs to review some of the details of our operating performance and corporate financial metrics for the quarter. Biggs?
Biggs Porter: Thanks, David, and good morning, everyone. Please turn to Slide 6 of the presentation. I’ll start by providing some addition comments on our fourth quarter performance then move to the balance sheet. Revenue for the quarter was $5.5 billion which compares to $6.3 billion a year ago. As expected, overall revenue for the quarter was down fairly significantly year-over-year, mainly due to the continued reduction and mining activity along with upstream coal bed methane gas project in Australia which is completed. EPS from continued operations for the fourth quarter was $1.41 compared to $1.1 a year ago. This quarter’s EPS includes the benefit of lower effective tax rate at 23%, primarily due to the favorable resolution of tax audit issues as well as lower share count as a result of our share repurchase program. Turning to Slide 7; corporate G&A expenses for the fourth quarter were $53 million, down from $65 million a year ago. The decrease was mainly the result of lower stock price driven compensation costs. Shifting to the balance sheet; Fluor’s financial condition remains very strong with cash plus non-current marketable securities totaling $2.4 billion, this compares to $2.7 billion a year ago. In 2014, the company generated $643 million in cash from operating activities and returned over $1 billion in cash to shareholders through share repurchases and dividends. In November, the Board of Directors authorized an increase in existing share repurchase program but 10 million shares. We issued $500 million of debt and repurchased approximately $500 million of share in the fourth quarter. The company plans to repurchase another $500 million of shares over the course of 2015. Moving to Slide 8; Fluor’s consolidated backlog at year-end was $42.5 billion. The percentage of fixed price contracts in our overall backlog was 19% at quarter end and a mix by geography was 34% U.S. and 66% non-U.S. I will conclude my remarks by commenting on our guidance for 2015, which is on Slide 9. As stated in our release, although we continued to closely monitor the capital spending plans of our major Oil & Gas clients, at this point in time, we believe the effects from slower sipping by our customers on our earnings per share guidance will be significantly offset by the positive effects of our share repurchase program. However we believe the upper half of the range will still achievable has become more challenging. We are accordingly expanding the 2015 guidance range slightly to $4.40 to $5 per diluted share. This guidance is closely effects the previously announced termination settlement of Flour GS to find benefit pension plan later in 2015. Our guidance for 2015 also assumes G&A expense for the range of $190 to $200 million, a tax rate of 33% to 35% and capital expenditures of approximately $300 million. We don’t give a quarterly guidance, by looking at the first quarter 2015 versus the fourth quarter 2014, I think there are few things people to keep in mind. This include the tax benefit we recorded in the fourth quarter from the resolution of audit issues and the benefit to compensation expense of the mark-to-market of our share based compensation. I would now surely characterize these as unusual because they’ve happened before and there are other things were similar positive or negative effect may happen again. But having said that, these are dot items we expect to occur every quarter. We expect this year’s first quarter to look more or like last year’s first year with EPS building throughout the year. With that operator, we’re ready to take questions.
Operator: Thank you. [Operator Instructions] And we’ll take our first question from Andrew Kaplowitz with Barclays. Your line is now open.
Andrew Kaplowitz: Hey, good morning, guys.
David Seaton: Hi Andy.
Andrew Kaplowitz: David, how should we think about your backlog going forward, you mentioned bumpiness and I think incentives from our side is that Oil & Gas could have some pressure here on the backlog going forward. Can you maintain your overall backlog? And then how much risk is there to project currently in backlog. I know you guys probably noted over the Pemex, the ways that they take about over the weekend. So we often get that question sort of quality of the back on, maybe you can talk about that?
David Seaton: Yeah, I think when you look at as the current backlog, we feel pretty good about what’s in there, you know lot of the things that have been announced, they are pushed a little bit to the right, really the majority of that’s not in our backlog at this moment. I think as overtime, we’ve been - we’ve been very conservative in what we take in and how confident we are in that going forward. So I don’t really see a lot of risk in our current backlog from a cancelation or a delay perspective. However, when you look at what is not in our backlog but we anticipated to be in our backlog, as we get into the first half of the year, some of it has been push to the right. So maintaining the record backlog and improving upon that in ’15, we don’t have as good feel for that. But again that really does an impact ’15, it more impact ’16 and ’17 when you think about the burn of some of these projects. As I said in my opening remarks, I’ve been in front of a lot of customers over the last couple of week, particularly in the Oil & Gas business. And for the types of things that we’re chasing, they feel pretty bullish about them going forward. It’s just a matter of win. I think they’ve got their challenges with their investor based that they are dealing with and they are taking one more look in a deep breath before they start pulling the trigger on some of these programs. But I’d also say that’s okay, we feel good about the fact that we’ve taken the efforts over the last three years to become much more competitive and in fact we’re already showing customer that we can help them become more capital efficient in terms of how they spend. So I think that over the last three years, we’ve done all the things we need to do to be very, very competitive in a market. It’s like, like it is right now with volatility or not.
Andrew Kaplowitz: Got it. So I wanted to ask you in that context David about Oil & Gas revenue, I mean I’ll let Jimmy ask you the margin question on Q4. But like when we look at the evaluation of Oil & Gas revenue and I mean it was pretty low in the quarter obviously very high margin. I guess we’re concerned a bit about a slow burn here, go through a lot of the dreams your company is and so why wouldn’t slow burn be an issue for your guys to, you know as we look at ’15, is that maybe a reason why you kind of standard the range and talk about getting bit the high end? Is that the biggest reason?
David Seaton: Well I mean I think, I’ll go back to what I said about backlog, we feel pretty good about what’s in backlog but in terms of E&C, we’re at the beginning stages, there is some very, very large projects where you are in the design phase, you are early in the procurement phase and you are not anyway close to be in a field and construction. So it’s kind of deft from a revenue burn perspective based on the timing of some of these projects not because of some delay or fear of delay.
Biggs Porter: And Andy on the high end, we didn’t get rid of it, we said could be more challenging but as a nuance but we didn’t take if off the table.
Operator: We’ll take our next question from Robert Connors with Stifel. Your line is now open.
Robert Connors: Hey, good morning, guys.
David Seaton: Good morning, Rob.
Robert Connors: I was just wondering for - to get a little bit of a color on the flavor of the 10 billion of prospects that did start to come into your feed list in the back half to sort of canceled out the 10 billion that you would want by upstream versus downstream as well as geography?
David Seaton: Well I think it’s pretty clear that there is not a whole lot of upstream in terms of exploration and production but I’ll remind you again that we’re really not exposed to most of the E&P side of the equation. But when you look mid-stream pipelines, when you look at refinery in petrochemicals, all of those are seeing new prospects. I’d say that regionally we’re still a lot in the United States but there is also work in Canada, Middle East as well as Asia. These are part of that in billion that’s come in. I think the interesting thing is that because of the efforts that we took around competitiveness it’s actually open the bigger window for us and we feel confident in being able to go after some projects with some really good customers that maybe has a different contractual approach. But again I’ll remind you what Biggs says, our backlog right now is 19% fixed price. So even moving that up into the low 20s, it doesn’t take us back to the max that we’ve seen in years gone by of 50%. So we’re being very measure and very conservative and cautious. But I think the actions that we’ve taken have actually opened the more of opportunity for us globally.
Robert Connors: And then, Dave I guess, stepping back one of my bigger questions is, since you took over, you need for a liner, flatter sort of organization, one of the benefits we saw as that one mining rolled over, you were able to roll a lot of that capacity into the Oil & Gas side. So just going forward, if we are in a sustain sort of swell our Oil & Gas CapEx spending environment, I am just wondering if we could see possibly some - a material shortages downside just on the Oil & Gas because now oil and gas and mining are sort of firing in all cylinders?
David Seaton: You know that’s a great question. I think what we’ve done over the last couple of years is really protected the dispersed execution model. And what that means is we’ve been able to right size the - we’ve right sized each of the offices and are able to more the work around. So I think from a standpoint of a work force, we’ve got a much more stable work force today and going forward. So I don’t see a lot of headwinds to use the terms, we don’t like to use, less tailwind relative to population that we have. But what this is also allowed us to do is this two self-change and we’re ready to grow, I mean we really have the ability to turn those levels now and not have any issues relative to a big piece of the talent that we need access to. We still have the challenge on the craft side from a skill side perspective. We’re working on that now. So we’ve had the ability in this and a little bit of a slowdown to kind of do a little bit of a check and see where do we need to spend the training efforts and it allows us to focus on the craft side. So I feel really good about where we stand from a human recourse perspective and the ability to turn that crank very quickly when things improve.
Operator: We’ll take our next question from Jamie Cook with Credit Suisse. Your line is now open.
Ben Shaw: Hi good morning. This is actually Den Shaw on for Jamie.
David Seaton: Hi Ben.
Ben Shaw: Andy sent me out for this one, just wanted to talk about the oil and gas margins in the quarter 7.3%. I guess you talk about that a bit and it looks like there might have some favorable closeouts there and also how should we think about that going forward, just given the uncertainty in the market and as projects ramped constrictions?
David Seaton: Den, I think - go ahead, sorry.
Ben Shaw: I mean do you think you can hold kind of the 5% margin in 2015?
Biggs Porter: 2014, yeah I think we can hold 5% margin. I think I go back and make two comments; one is the comment around the timing of where we are in the individual projects where the type revenue we’re burning is more services based. There really weren’t any closeouts during the quarter that push that up, but I would also say that in the changes that we have made in the organization, we clearly become more profitable in terms of the returns that we are expecting from these project. So I feel pretty comfortable in say that margin should start with the 5 going for quite sometimes within oil and gas.
David Seaton: I think for next year, may start out the fire range but there are certain the potential for go up into the 6 range as well and then they are pulling up in that territory for the year.
Ben Shaw: Okay, got it, that’s helpful. And then I get some into your other businesses, looks like order in Power and I&I were pretty solid, can you talk about the ability for you to grow backlog in those two segments throughout the year? And then I’ll be back.
David Seaton: Well I think Power has become, if you can believe it more competitive. There is a lot of people they don’t have the diversity that we have that are forced to make some in my opinion some poor decisions on they expect and what they will accept. I do believe we’re in a good position to grow backlog in Power over the short term and I feel good about our position regardless of the fuel’s chose. When you look at the outlook been able to resign that agreement in nuclear space, when you look at some of the shutdown turnaround that we do, gas is obviously driving the ship. So I feel pretty good about growth backlog in Power but I just caution that there is some really heavy competitive pressure there. When you look at the industrial market, we’re seeing some pretty significant new opportunities in terms of the life sciences piece of that business. We’re also seeing the manufacturing side where the fair amount of new capital expenditures they were looking at. And again and that [ph] segment is pretty global in nature. In the Power segment, it’s primarily North America but obviously that gives us the rest of the world to kind of leverage in utilizing this first execution model that I spoke earlier.
Operator: We’ll take our next question from Tahira Afzal with KeyBanc. Your line is now open.
Tahira Afzal: Thank you. Folks, congratulations on the good quarter.
David Seaton: Thank you, Tahira.
Tahira Afzal: And the first question is, we’ve seen you in press release something that NEXUS, you know when we track all the major pipeline projects in North America and outside of keystone, Dallas is up to more than a 100-200 - 150 billion potentially that is supposed to be awarded within the next couple of years. So I some of you might see some timing issues in your more traditional Oil & Gas market, do you see the opportunities on the pipeline side as then being a meaningful offset especially into second half and 2016 timeframe.
David Seaton: Absolutely, absolutely, we saw that coming years ago and actually Peter and his team when he was running E&C put together a small group to focus exclusive on the major pipelines. The keystone pipeline is so politicized, we had like elsewhere, but your numbers are same numbers that we look at and I think there is great opportunity in terms of pipeline replacement programs as well as the new think like NEXUS. And I think we’ve formed some really good relationships with our customers in terms of how we’re execute those things and again look for that capital efficiency where we can find it. So it’s a - I think it’s a good growth story as we go through the next two or three years.
Tahira Afzal: Got it. And second question is on really market share gains for yourselves, you know from what I hear at tradeshows, you remained very discipline in bidding and a lot of your recent gains have really come from being able to market cost savings for your clients. As you go into an environment which is tougher, does that net-net provide more opportunities for you from market share gain or is disciplined bidding going to keep it around flattish?
David Seaton: I think there is great opportunity. As I said, I mean I think we kind of changed the game relative to how - we develop these projects with our customers and really look at how do you change the traditional approach with our customers to make sure that we’re getting best back for the buck. I think there is over the years, some maybe some bad is going to into these capital program where they are really happy when their facility operates at a 120% a nameplate capacity when basically all they wanted was a 100% of nameplate capacity. And I think that’s something that our customers are looking at and say we just can’t afford that and luckily we’re head of the game, we’re away ahead of the game in terms of being able to demonstrate how to lower those capital cost to our customer. So regardless of the competitive situation, we feel like we’re in the best position to give them the best asset as a best price and at the same time maintain the profitability that we expect. So I think we’ve kind of changed the game here and I think that’s going to board well for us for many, many years to come.
Operator: We’ll take our next question from Jerry Revich with Goldman Sachs. Your line is now open.
Jerry Revich: Hi good morning.
David Seaton: Good morning, Jerry.
Jerry Revich: I am wondering if you gentlemen can just talk about out of the $50 billion pipeline, can you give us just a rough flavor how the regional breakout compares to your current backlog and maybe touch on how big give a prospect lists in refining specifically?
David Seaton: You know I think it’s pretty much all the globe to very honest with. I would say that in the near term and still heavily weighted towards North America, but the opportunity set is very global. I mean three or four countries in South America, three of four countries in the Middle East, China the non-sanctioned piece of Russia, the South East Asia, I mean there is just a lot of work out there that’s pending. I would say it’s heavier on the petrochemical side right now than anything else, but it’s not vastly bigger than bigger than the refining opportunities or frankly some of the upstream opportunities are still make the cut relative to the decision need to be taken. And again lot of these project are getting bigger, so the gestation period is longer which kind of speak to that lumpiness that we mentioned earlier. But as we go over the next 12 quarters, I feel pretty good about solid growth in that market place over that longer period of time. And that’s Oil & Gas. When you look at Infrastructure, there is growth opportunities there. I mentioned Power and the life sciences side of our business. There is opportunities in our Government outside of the U.S. Federal Government. So I think we still have a pretty good growth story. I just think we’ve got a temporary cooling based on one - well two commodity prices copper and the barrel of oil. But I’d remind the audience here that it was only four-five years ago that our oil company customers are making the same capital decisions on $50 oil. So that’s not that long ago and I’d remind everyone that people suggest that this scow is going to fall everyone above $100 a barrel. So you got to look at the stuff in long term and I frankly thing that in terms of our business and in terms of the Oil & Gas companies business, it’s a good time, it’s a buying time if you will in terms of capturing those projects that matter and I think our client relationships and our performance prove that we’re in the best shape to capture that.
Jerry Revich: And David, a couple of years ago at the Analyst Day you spoke about building a skill set in LNG and obviously your venture you to see has gone pretty well for your folks. What are the strategic priorities for you during this cool off period any other technology skill of I guess areas that we should look for you folks to build out or any other strategic combinations of relationships I mean consolidation that would make sense for your folks?
David Seaton: Well I think it’s in a couple of areas, it’s not as specific as LNG, but we’re going to continue to focus on our supply chain capabilities in terms of how we buy, where we buy, the development of new suppliers and all of logistics to go, I mean lot of these programs now are as much about logistics as they are about the technical capabilities of the engineering piece. We’re going to continue to grow direct our construction and our fabrication capabilities to service the customers where we need that help. Again craft labor a pinch point we’re making sure we’ve got the capacity to get if off the sight into a fair beyond where you’ve got controlled environment which I believe increases the quality and surety of delivery. So I feel pretty good about doing that. I guess the other comment that I would make is this really in the cooking off period, this is an opportunity to kind of look at the future and grow from there. So the glass - listen just an opinion, I mean the glass is half full, it is not half empty as most people are boarding.
Operator: We’ll take our next question from Alex Rygiel with FBR Capital Markets. Your line is now open.
Alex Rygiel: Thank you. Good morning. Nice quarter, Dave.
David Seaton: Hi Alex, how are you?
Alex Rygiel: Not bad. A couple of quick questions, first in the I&I segment, that segment has started obviously stabilizes first the mining cycle. Do you think margins have 6.5% 2014 is the new norm or does that include some of the benefits of project closeouts in the mining cycle?
Biggs Porter: It does clearly include some of the benefits to close out of mining cycle and we had really good performance on infrastructure as well in 2014. So those margins are higher than what we would expect going forward. It should move back somewhere towards a norm of 4% to 5% over the next year.
Alex Rygiel: That’s helpful. And then as it relates to some of the pipeline projects like NEXUS or reverse osmosis, can you talk about how Fluor is going to be controlling the critical path and how should we think about margins in the pipeline business for Fluor, they are closer to the Oil & Gas average or they are going to be more or like the mining segment given the quantity of materials associated with pipelines?
David Seaton: Well it’s a different kind of, it’s more of a logistics and a supply chain program than a traditional Oil & Gas, so I’d say we’d moderate more towards the mining side, but not vastly. But controlling the critical path of those projects is controlling the supply chain and assuring delivery of what you need when you need it. And as I said, we’ve spent a lot of time and effort on that will continue to do so. So I feel pretty good about being able to control our own destiny on those projects.
Operator: We’ll take our next question from Steven Fisher with UBS. Your line is now open.
Steven Fisher: Hi, good morning.
David Seaton: Good morning, Steve.
Steven Fisher: I found here the power profitability at 4.1, I am not sure if there were something specific in there as they drew it up, but it’s certainly a new higher level, is it a level that you think we can build off from here or should we still expect it to be up and down for a little while?
David Seaton: I’ll let Biggs talk a little bit about it, but I’d say that we’ve kind of bottomed - we bottomed out in Power and we’re starting to see growth in front of us. We’ve also just started some pretty large projects. So again you are kind of in those early stages. Biggs, can you?
Biggs Porter: The other thing effecting power on a segment reported basis is that on this scale the recovery we’ve recorded from our DEO cost share was a little bit higher in the fourth quarter, so that improved segment results as well.
Steven Fisher: Okay. And then overall the Oil & Gas, Dave, you’ve talked about this a number of times on this call already but can you just maybe talk a little bit more about why you think you’re not going into say a couple of year down cycle in Oil & Gas, what is that your customers are telling you, I know they are still optimistic but why couldn’t this be a couple of year downturn before pick back up, you know I think kind of one of the debate of investors right now?
David Seaton: Well, I guess - that’s a great question and I kind of pressed it by this before I get to answer. Each of the oil companies have said that they are going to limit their capital spend which says that the marginal projects are probably going to get delayed further. But look it going after a piece of the - our customers’ capital spend. We’ve spent a lot of time on which projects are going to go forward. So I think when you look at why we’re focused on the projects that matter. I had a conversation with one customers last week as a matter of fact, they said, you know we still got to add 200,000 barrels just away to tread water. So these companies are going to continue to replace their reserved based, they are going to continue to look at a value added products, they are going to continue to improve their businesses. They are just going to be a little bit more thoughtful in which projects go forwards and which projects need a little bit work. But clearly as you can see with our new award for this quarter, decisions were still being made, NEXUS being a great example where in the first quarter they’ve made a decision to go forward with these products based on their customer needs. So yeah, I think drilling rig count is a problem, but we don’t do that business. I think some marginal field developments may take a little bit of a breath but again that’s not something that our backlog is exposed to. But at the same token, low prices are really exciting to the chemical producers, so as an example. So again I think that you really can’t paint Fluor or our market with the same brush as the - as this painted for the oil and gas market. So A, we’re choosing the right project that are going to go forward and being very, very successful on. B, we’ve taken the effort to become much more competitive and profitable. And C, I don’t think this is a long, I mean it’s - it depends on what long-term, you to find long-term. I think that ’15 is going to be a little bit of a hard year relative to order intake, but it really don’t damage our growth potential for ‘16, necessarily for ’16, ’17 and beyond.
Operator: We’ll take our next question from Andy Wittmann with Robert W. Baird. Your line is now open.
Andrew Wittmann: Hi guys, thanks for taking my questions. David, I wanted to get your perspective a little bit on the change in the executive compensation plan, that was announced a couple of weeks ago. Previously the long-term plan was based on gross margin of new awards and new award in total. It like for ’15, the emphasis has been places on EPS growth over the longer period of time as well as return on assets employed. Given that, what’s the thought process around that, is that just a recognition that there is going to have to be a little bit more operational focus from the board given that the award side is maybe slowing down, is that a peeved point, I think some perspective as to why those changes are made that would be helpful.
David Seaton: Disclosure loss, it’s pretty simple. I still believe and many of our people are still compensated on the basis of new award margin and percent margin, dollar and percent margin because I think that’s the best indicator of future help, the future earnings of the company. We are not going to disclose the metrics around there. So what we’ve is, we’ve changed to EPS in returns specifically to avoid disclosing something that we think is a competitive metric.
Andrew Wittmann: Gotcha. So in the past, you’ve been able to not disclose and still be incentivized on that but in the future there were some change that you didn’t feel like you could still do that?
David Seaton: Correct. Correct.
Andrew Wittmann: Okay, great.
David Seaton: You know, to the - kind of the under turn of your comment, we’ve always been focused on both growth as well as delivery. So regardless of what we change it to our focus is still on flawless execution and certainty of cost and schedule to our customers.
Andrew Wittmann: Got it, that’s helpful. Just for Biggs on mining, you guys have given over the last years, as mining has been in focused, some details what that business is doing. Can you give us now that ’14 is in the books, but the revenue contribution was for ’14 and what your thought is on relative change just for mining as we move into ’15, so we get our - what that might look like?
Biggs Porter: I actually don’t think that we’ve been disclosing what the revenues are of mining versus infrastructure. We have from time to time reported the backlog number for what was mining and if I get it, I’ll give it to you before the call is over. It’s never right here in front of me. Well outlook for that.
Operator: We’ll take our next question from Adam Thalhimer with BB&T Capital Partners. Your line is now open.
Adam Thalhimer: Good morning, guys, congrats in nice quarter.
David Seaton: Thank you.
Adam Thalhimer: Dave, did you said, what’s executives of some of your large customers in Oil & Gas segment over the past few weeks and they still want to move forward on projects. I am just curious, they - are they acting new any concessions, if you cut your price a little bit will help us kind of move this forward or is - have that not really come up?
David Seaton: No, it’s come up. I think the dialog is more around proper scope management and effective implementation supply chain things we’re talking about. We’ve had some customer that have asked for unit rate that kind of reductions but not significantly so. And to be honest, I believe that’s a little short sighted because that’s not where the real money is, real money is in the supply chain and how we implement construction.
Adam Thalhimer: Okay and then in Oil & Gas segment, I am still trying to get a sense for when some of the larger projects move into the construction sales, is that kind of like for this some of the largest project you are working on it like a middle ’15s or early ’15 or late ’15?
David Seaton: Well, I mean if you about the three crackers, we’re already in the field on all three of them in some form of fashion and because they are still in their stages. So some of the big stuff, we’re already - we’re already out there. Typically you are going to look at from the award of the EPC, you’re going to look at, I don’t know six to nine months before you really get into the field and earnest. So we’ll be going into the field in some of the projects in ’15 just on plan. There is a couple that have pushed to the right just a little bit. But I guess the point I’d make is that we haven’t had any cancelations, all we’ve had is delays in terms of FIDs and which quarter or which fiscal year those things go forward, which speaks to the command I made about how sure we are about what we take into backlog and which project that we go after. So we’re kind of hitting the field in some case now and we’ll continue to do so as we go through the year.
Operator: We’ll take our next question from Brian Konigsberg with Vertical Research Partners. Your line is now open.
Brian Konigsberg: Hi good morning, guys.
David Seaton: Good morning.
Brian Konigsberg: Hey, just coming back to the opportunities that are on the petrochemical crackers, so it had fixed on the market already and you noted there is - in the pipeline there is a number of additional opportunities. So do you believe the U.S. or I am sure if that is specifically U.S. but can U.S. be meaningfully more than six crackers, you take on that if not where the other opportunities?
David Seaton: Well I mean they are in North American the ones I am speaking off. And I think there is room for more.
Brian Konigsberg: Okay and then - I mean the second question, I noticed in your 10-K noting that the burn rate and just coming back to the question just around burn at ’15, 44% of your backlog will be burned in ’15, that actually that’s a pretty market slowdown from what we saw last year actually in place of revenue coming from backlog is down maybe 1% in ’15 versus what you had in ’14. And I am sure how much you could comment on this, but if you if you just take the consults number, I would suggest that the booking burn in ’15 would have almost more than double which I guess is seem to be tough just considering the backdrop or talking about. Is that the right way we should be looking at it and if so, I mean why would that consults never be close to being right?
David Seaton: Let me start and ask Biggs to give his thoughts. As I said earlier, we are kind of in a situation where you are in varying states of projects and the burn on these projects is heavily weighted towards the backend ones we get to the field and because at that point you’ve purchased most of the equipment materials, so you are getting towards the end. On all of the three crackers that I spoke off, you are still in the early, early stages even though we are already in the field in some cases. I give an example we’re in a very early stages of the cracker construction that we’re in a very stages in Sasol and we’re a little further along in CPChem. So the burn in ’14 was minimal of three those relative to the overall revenue burn. I think the most important metric frankly is the margin burn and the fact they were improving our margin performance over the last probably eight quarters across the boards and specifically in Oil & Gas. I don’t know if Biggs if you like to comment.
Biggs Porter: I’ll just make couple of comments. The 44% is down from what we would have printed last year at this time in the 10-K ever. I think as things turned out, the percentage burned off in 2014 was probably below what we expected when we printed the 10-K last year. And if you recall 2014, we didn’t have as many projects moved in the construction as soon as possible, so revenues were down a little bit more, there are down below what we initially expected. And so that might not be that bigger difference between the burn rates that we actually had last year what we expect this year. Do thing that revenues are going to grow in 2015. It should be double digit, 10% or higher. Anyway you fit all that together I think that at the end of the day our booking burn for this year on the Oil & Gas is expected to be too different from what we had in the past.
Operator: We’ll take our next question from Michael Dudas with Sterne, Agee. Your line is now open.
Michael Dudas: Hi, good morning, everyone.
David Seaton: Hi Michael.
Michael Dudas: Dave, could you comment on outlook for large infrastructure projects, could we anticipate maybe a billion dollar type project that you booked in 2015 others and is it certainly driven by public, private and some of the financing away from step that could be coming on Washington and added clarity on the future expand?
David Seaton: I think probably private is clearly the approach of choice in terms of North American infrastructure. You know I wouldn’t comment where there is a billion dollar in the works, so I would just say there is a lot of them in the works. But the development phases of those are significantly longer in the significantly cycle like an Oil & Gas project if you will. So I think that there is a couple of projects as I said in North America that they were focused on, there is a couple that are between say 300 million and 700 million but I’d say there is not anything in the current view that would book in ‘15 that’s over a billion.
Michael Dudas: Like all of would be on the Middle East, some of the budget numbers given where energy prices are from the national oil companies, do you feel comfortable with some of those numbers that have put out there and are there any political issues in that region right now that could cause some pullback or shift in the mix of budge we’re spending in that work, that’s next to four [ph]?
David Seaton: Well, as you know I lived out there for a long time and stayed very close to that part of the world. I would characterize at this way, this is no different than the last three or four times I’ve seen all dropped. I told you guys, we’re in Huston, back last year, I mean I remember when it hit $17 a barrel in 1997 and if we go back two years part of that over the $11 and the capital spend of our customers to maintain that reserve based stayed very robust. So I think the NOCs are no different than IOCs in terms of what their long-term views are and their okay when you got 50-60 buck oil. So I guess the hedge I would make is, we see a significant drop which I don’t anticipate in oil price, he could see some change. But at the current levels, there is looking long-term, I really don’t see any significant change I think in the near term and their spending is. Politically I mean you read the same papers I do, I mean the places always been a little bit difficult in terms of how things go forward and I don’t think that’s changed today. I will say that it doesn’t worry particularly what’s going on right now in terms of short term impact on business even with the stride that you’ve seen and the terrorist activities that are going on. But it’s still a great place for us and our customers aren’t changing there their spending habits that this point.
Biggs Porter: This is Biggs, I just underlying to that question, just want to follow-up on the other question on money backlog. The amount of the money backlog at the end of the year was around $2.5 billion. So with we go to the next question.
Operator: We’ll take our next question from Anna Kaminskaya with Bank of America Merrill Lynch. Your line is now open.
Anna Kaminskaya: Hi, good morning, guys. My first question was regarding, just going back to gas margins which is what 7% of the energy CapEx in the U.S. and seemingly more leap availability, does it enhance your margin on the existing projects that all or just given most of it is cost price doesn’t really change the profile?
David Seaton: See Anna, I don’t take to this fact to this cost plus changes to profile, I still feel that there were in a good shape relative to us being able to deliver the margin that we anticipate that when we took it into backlog. I don’t see any change, any market change there at all.
Anna Kaminskaya: Okay, so you don’t think it helps your margin enhance?
David Seaton: I don’t think it will help.
Anna Kaminskaya: Okay. And then just if what we think about just changes in your business model, you talked a lot about more fabrication capabilities and logistics investments, does it change your soft market profile in the Oil & Gas business, just in terms cyclicality and if we do go into the downturn?
David Seaton: No, I don’t think it has any impact and I am not sure what you mean my soft margins necessarily I mean clearly, if we’re going to control the critical path of the schedule as I’ve said before, we got to do certain things ourselves which in some cases is margin in the past that others earned as a subcontract. So that does help us to that degree, but relative to backlog and what we are going after that approach is already been embedded in how we’ve taken those projects into backlog.
Biggs Porter: I would add that the fabrication assets we’ve added have been through joint venture, so that cost is a share cost, it gives us an adequate degree of control over the critical path as David stated, but it’s gone on a fairly efficient basis for us.
Operator: And we’ll take our last question from John Rogers with Davidson. Your line is now open.
John Rogers: Hi thanks for getting me. Two different follow-ups; first of all I guess Biggs maybe, in terms of cash flow last couple of years it’s matched with net income pretty well, would we expect the same in 2015?
Biggs Porter: Yeah, I actually add some commentary on 2014. We actually had about little over $200 million that we would have expected in 2014 that came in early January. So was expecting a bigger fourth quarter then what we actually had, that money came into 2015 instead and so that’s obviously helpful to 2015. Having said that, I have to also note so that everybody doesn’t forget about it, for the first quarter that we did have a $300 million settlement payment that we made in January as well. So if you are looking at without that the consideration, you’d say we should expect a very good year for 2015, it will be tempered by the fact that we made the payment.
John Rogers: And then David, just following-up on your comments relative to controlling some of the critical path and supply chain and you’ve mentioned fabrication but are there other areas that you can point to now that you think have notable in significant competitive advantages in terms of controlling this chain and you enter on areas that you want to get better control of?
David Seaton: I feel good about where we are, but it goes back several years worked, in Oil & Gas, Peter Oosterveer and his team and his team did in terms of looking at the capital efficiency of the programs. And what I mean by capital efficiency is are we designing serial number one that has a significant associated with it and a risk or ROE developing scopes that don’t have serial number one equipment in it that are trying true. ROE designing based on design margins that are reasonable or have we allow the customers to lighter those such that steel is bigger, pumps are bigger, motors are bigger, those kinds of things. So the first part of it is around the physical scope is there. I think our ability to control our own destiny in the fabrication yards to A, ensure our position in shop. B, to manage the quality and the performance of the shops is critical in terms of cost and in terms of delivering those modules when and where they need to be. I think in terms of construction and a process plant, the critical path runs through the piping account. Well on a direct hour basis that’s the scope that I want to do our sales, because again you are controlling your own destiny in a critical path schedule. I think that I could go on and on and on the things that, that we’ve done to improve our ability to perform effectively there. So I mean there is a lot that we’ve done that gives us comfort that we can continue to perform for our customers and be best in class.
Operator: And we have no further questions at this time. I’ll now turn it back to our speakers for any additional or closing comments.
David Seaton: Thank you, operator and I appreciate everybody participating on our call today. But as I said in my opening remarks, we are focused on maintaining our competiveness and growing our profitability and I think what we got in front of us clearly allows us to do that. I think both were essential for growing shareholder value and attracting the right talent and meeting and exceeding our client expectations. Again we’ve done a lot of work around making sure that we are being thoughtful to our customers around the competitiveness that they need in the capital efficiency, but we’re doing so in terms of being able to provide an integrated cost effective solution to the issues that they are dealing with. I believing we’re taking and we’ll continue to take the actions that we need to be more competitive in a pretty volatile market but again not at the expense of profitability which I believe is a true credit to our leaders and our employees. With that I greatly appreciate your interest and confidence you have in our company and we wish everyone a good day. Thank you.
Operator: This does conclude today’s teleconference. You may now disconnect. Thank you and have a great day.